Sean D. McGuckin: Good afternoon, and welcome to the presentation of Scotiabank's 2013 Second Quarter Results. I'm Sean McGuckin, Chief Financial Officer. Rick Waugh, our CEO, will lead off the highlights of the quarter. Next, I'll go over the financial results, including a review of business line performance. Rob Pitfield, our Chief Risk Officer, will then discuss credit quality and market risk. Rob will be followed by Brian Porter, our President, who will provide an outlook for each of our business lines for the remainder of 2013. We'll then be glad to take your questions. Also in the room with us to take your questions are Scotiabank's business line group heads. We have Anatol von Hahn from Canadian Banking; Dieter Jentsch from International Banking; Chris Hodgson from Global Wealth Management; and Mike Durland and Steve McDonald from Global Banking and Markets. As with prior calls, we also have joining us Sabi Marwah, Vice Chairman and Chief Operating Officer; Jeff Heath, our group Treasurer; and Stephen Hart, our Chief Credit Officer. Before we start, I would like to refer you to Slide #2 of our presentation. It contains Scotiabank's caution regarding forward-looking statements. Over to you, Rick.
Richard Earl Waugh: Thanks, Sean. We're pleased to report a strong second quarter, driven by good revenue growth and solid contributions from all our business lines. Net income was over $1.6 billion, representing growth of 10% year-over-year. Diluted earnings per share were $1.23 for the quarter, up 7% from last year. Our return on equity remains strong at 16.2%. Revenue grew by 11% from last year. Excluding acquisitions, revenue growth was 7% and was specifically attributed to asset growth, higher fee income and stronger wealth management and insurance revenues. We delivered positive operating leverage, and we continued to put our priority on expense management. The credit environment remains stable, and as expected, provisions grew in line with asset growth and portfolio mix, particularly in Latin America. Impaired loan formations have continued to decline and Canadian retail delinquency has improved as Rob will discuss shortly. Our capital is strong. Our Basel III all-in Common Equity Tier 1 ratio increased by 40 basis points to 8.6% this quarter. Looking at the first half of the year, revenue and earnings growth has been solid. Canadian Banking had revenue growth across several categories. The acquisition of ING DIRECT is performing well in addition to strong customer growth in credit cards, deposits, payment services and in wealth management. International Banking results were also driven by strong revenue growth, particularly Latin America; higher contributions from associated companies; investment gains and acquisitions. Partly offsetting was increased PCLs, but as I said, they grew in line with expectations. Global Wealth Management had a very good quarter with both our wealth management and our insurance businesses contributing strong sales, both domestically and internationally. Improved marketing conditions were primary drivers. And finally, Global Banking and Markets saw stronger revenues in the lending, fixed income and equity businesses, partly offset by lower precious metals and commodity revenues. Looking forward, we expect growth in the United States to favorably impact our Americas footprint. Expanded U.S. trade with Canada and Mexico, in particular, will benefit our customers and business conditions. With a strong performance to the first half of this year, we are well positioned and confident we will meet or exceed targets for the full year, growing in each business lines. I'll now turn it over to Sean.
Sean D. McGuckin: Thanks, Rick. Slide 7 shows our key financial performance metrics for the quarter. Diluted earnings per share for the quarter were $1.23. This was 2% lower than the previous quarter due primarily to the shorter quarter but up 7% from the same period last year. Looking at year-over-year changes, Q2 earnings benefited from recent acquisitions, particularly ING, higher net interest income, stronger wealth management results and higher growth in transaction-based fees. Partly offsetting were lower trading revenues, higher operating expenses and higher provisions for credit losses. Moving to revenues on Slide 8. Revenues during the quarter were $5.3 billion, up 11% from last year. The increase reflects the impact of ING, as well as asset growth in International Banking, corporate lending and Canadian residential mortgages. The core banking margin was in line with last year after adjusting for the ING acquisition impact. Growth in net fee and commission revenues was driven by stronger wealth management revenues and higher net gains on investment securities, partly offset by lower trading revenues. Quarter-over-quarter, net interest income was up modestly, as stable margin and asset growth was offset by a shorter quarter. Net fee and commission revenues grew due to better performance in wealth management. However, trading revenue was down due to lower results in fixed income, precious metals and commodities. Turning to Slide 9. Noninterest expenses were up $276 million or 11% from last year. Acquisitions accounted for approximately $116 million of this increase. Underlying expense growth year-over-year was spread out across most operating categories and was the result of the support of ongoing growth initiatives. Premises costs were also up due to the real estate sales last year. Compared to the prior quarter, expenses were up 1% with acquisitions accounting for half of the increase. Higher marketing and premises costs were offset by lower compensation-related expenses. Excluding the real estate gains last year, year-to-date operating leverage was positive 1.5%. We continue to expect to achieve positive operating leverage for the full year. Turning to capital on Slide 10. You can see that the bank continues to maintain its strong, high-quality capital position that is well above regulatory minimums. The Common Equity Tier 1 capital ratio increased by 40 basis points to 8.6% this quarter. The increase came from internally generated capital and stock issued under the Dividend Reinvestment Plan, while risk-weighted assets were in line with last quarter. Turning to the business line results, beginning on Slide 11. Canadian Banking had another strong quarter with a net income of $547 million, an increase of $86 million or 19% from a year earlier. Revenue growth was strong at 15% or 6% excluding ING. Strong organic asset growth, including 7% growth in residential mortgages, 24% growth in consumer auto loans and 7% growth in commercial lending our drove their revenue performance. The margin decline of 9 basis points year-over-year was entirely due to ING. Net fee and commission revenues increased primarily as a result of growth in credit cards and higher wealth management distribution fees. The higher credit provisions were due to one account in commercial banking. The ING acquisition accounted for the majority of the increase in expenses. Excluding ING, expenses increased 4%. Quarter-over-quarter, revenue was down 1% as the shorter quarter and lower card revenues were only partly offset by higher investment gains and the full quarter impact of ING. Expenses were up 1% due in part to the full quarter effect of ING, partially offset by the shorter quarter. On a year-to-date basis, operating leverage was positive 1.7%. Moving to International Banking on Slide 12. International's earnings were $419 million this quarter, up 5% from $399 million a year earlier. Year-over-year, revenues increased 11% due to retail, loan and deposit growth, securities gains, the positive impact of foreign currency translation, higher earnings from associated companies and the impact of acquisitions. Provisions for credit losses increased by $49 million to $194 million with approximately half of the increase due to acquisitions. The balance of the increase was in line with asset growth and changes in our product mix. Expenses were up 11% with approximately half the increase attributable to acquisitions and foreign currency translations and the remainder due to business-driven growth. Quarter-over-quarter, net income was up modestly. Revenue was up due to loan growth, particularly in Latin America, foreign currency translation and securities gains, partly offset by the shorter quarter. While last quarter we benefited from a tax recovery in Puerto Rico, this quarter we benefited from a gain on sale of securities in Mexico, which is, in fact, a recovery of a loan loss. Each of these items was in the range of $25 million to $30 million after tax. Provisions for credit losses increased $8 million from last quarter, as growth in provisions in Colombia, Mexico and Peru were partially offset by lower provisions in the Caribbean. The increase in provisions was in line with asset growth, and the loan loss ratio remains stable. Expenses were up 5% due to acquisitions and foreign currency translation. On a year-to-date basis, operating leverage was positive 2.6%. Turning to Slide 13. Global Wealth Management had record operating earnings, $326 million in net income, an increase of 12% from last year. Revenues increased 12% year-over-year, driven by strong growth across the wealth management and insurance businesses. The wealth business was driven by strong net sales, including record ScotiaFunds mutual fund sales, improved financial markets and the acquisition of Colfondos, a pension management business in Colombia. Assets under management and assets under administration grew 24% and 14%, respectively. Of the total revenue, approximately 83% was attributable to wealth management and 17% to the insurance businesses. Expenses were up 13% from the same quarter last year due mainly to the Colfondos acquisition, higher volume-related expenses and the change in Dynamic Funds' administrative fees. Quarter-over-quarter, net income increased 8% with revenues increasing 5%, mainly from higher brokerage and mutual fund fees. Expenses were up 4%, primarily reflecting the full quarter impact of the Colfondos acquisition and higher volume-related expenses. On a year-to-date basis, operating leverage was negative 2% due primarily to the change in the Dynamic Funds administration fees. Looking at Slide 14. Global Banking and Markets net income was down $26 million from a strong quarter last year to $361 million this quarter, reflecting market-driven challenges in commodities and the precious metals business, along with lower underwriting and advisory fees. This was partly offset by stronger results in the lending and fixed income business. Year-over-year, revenues decreased 1%. Provisions for credit losses remained modest at $12 million versus a $1 million reversal last year. Expenses were up 8% over last year, reflecting higher salaries and benefits, partially offset by lower performance-based compensation. Quarter-over-quarter, net income decreased by $38 million or 10% from a very strong first quarter. This was due to both the impact of the short quarter and challenging markets, which impacted trading revenue, particularly in the fixed income, commodities and precious metals businesses. Partly offsetting this was solid loan growth in corporate lending. Expenses decreased 2% from last quarter due primarily to seasonally higher stock-based compensation costs in Q1. On a year-to-date basis, operating leverage was negative 1%. I'll now turn to the Other segment on Slide 15, which incorporates the results of Group Treasury, smaller operating units and certain corporate adjustments. The results primarily reflect the impact of asset liability management activities. The Other segment reported a net loss of $119 million this quarter compared to a net loss of $147 million last year. The reduced loss was partly due to lower operating expenses. In addition, the prior year results included the offset to underwriting revenues reported in other business segments related to the bank's common share issuance in Q2 2012. Quarter-over-quarter, the net loss decreased $12 million. Lower taxes and lower operating expenses were partly offset by reduced gains on investment securities. This concludes my review of our financial results. I'll now turn it over to Rob who will discuss risks.
Robert H. Pitfield: Thanks, Sean. Good afternoon. The risks in our credit portfolios continues to be well managed, and overall credit quality remains strong. Provisions for credit losses increased by $79 million year-over-year and $33 million quarter-over-quarter to $343 million. The increase in provisions was primarily due to 3 factors: retail provisions in Latin America grew in line with asset growth and product changes, Canadian commercial provisions increased due to one account and corporate provisions increased due to 2 names in the U.S. portfolio. Net impaired loan formations were $326 million, an improvement from both the prior quarter and the prior year. Market risk remained low and well controlled. Our average one-day all-bank VaR was $16.8 million, down slightly from $17.4 million in the prior quarter. There were 2 trading day losses in the quarter compared to none in the previous quarter. Our exposure to Europe is not significant and was down $3 billion from last quarter. The credit risk in the Canadian residential mortgage portfolio remains benign, and delinquencies are continuing to decline. Slide 18 shows the trend in provisions over the past 5 quarters. As you can see, Canadian retail provisions remained relatively stable. Portfolio quality remains extremely high with 94% of assets secured. As I mentioned, Canadian commercial provisions increased this quarter due to one account. International retail provisions increased $47 million year-over-year to $180 million. Provisions were higher, although in line with expectations, largely due to the acquisition in Colombia. Provisions were also higher in Peru and Chile due to asset growth and an adjusting portfolio mix. Quarter-over-quarter, retail provisions grew in Colombia and Mexico, partly offset by improving retail conditions in the Caribbean. International commercial provisions were relatively flat year-over-year, as lower recoveries in Latin America were offset by reduced provisions in the Caribbean. Quarter-over-quarter, there were broad-based provision recoveries in the Caribbean, although these were substantially offset by lower recoveries in Latin America. Global Banking and Markets had provisions for credit losses of $12 million this quarter compared to a reversal of $1 million in the same period last year and provisions of $5 million in the prior quarter. While lending assets grew strongly, the bank's overall PCL ratio remained low and within expectations at 35 basis points. Slide 19 shows our Canadian Banking residential mortgage portfolio. Our total portfolio of residential retail mortgages is $188 billion. Our portfolio continues to be approximately 90% freehold and 10% condo. As you can see from the slide, approximately 58% of the portfolio is insured, 42% uninsured. The uninsured portion has an average loan-to-value ratio of approximately 55%. The Canadian housing market generally remains balanced between supply and demand. Reasonable economic performance has allowed the consumers to manage debt levels well. However, we do expect some softness in the Canadian housing market in the short term. Credit quality and performance of the residential portfolio remained strong. Our disciplined and consistent underwriting standards in all of our origination channels have resulted in extremely low loan losses and, again, have been stressed under a series of severe tests, which confirm the appropriateness of our risk appetite. To summarize, on Slide 20, our asset quality remains high with retail and commercial portfolios performing as expected and our corporate portfolios continuing to demonstrate strength. However, our combination of growth in portfolios and changes in portfolio mix will result in somewhat higher provisions this year compared to 2012. We expect Canadian retail provisions to remain stable. Although International Retail provisions are expected to rise, the pace of growth will match the natural loan growth of the portfolio. We expect corporate and commercial provisions to remain controlled. Although as this quarter has shown, from time-to-time, corporate and commercial provisions can be lumpy. This concludes my remarks, and I'll now pass it over to Brian. Brian?
Brian J. Porter: Thank you, Rob. Beginning with Canadian Banking. For the balance of the year, we expect to see asset growth in line with what we've experienced so far this year. Automotive finance, which has been a source of strength recently, and residential mortgages will both continue to achieve solid growth. Our commercial banking pipeline remains strong. In deposits and payments, we continue to see positive results, especially from our cash-back and rewards credit cards, as well as our innovative checking products. We have gained market share in both deposits and payments, and we remain confident about our ability to grow these businesses. In mutual funds, we continue to experience solid market share gains, and we expect to see continued growth in the sale of wealth management products and the cross-sell of creditor insurance throughout our branch network. Turning to the margin. We expect it to stay relatively stable going forward as favorable changes in product mix will continue to offset the pressure from low -- the low interest rate environment and competitive pricing pressures. Looking at PCLs, we expect increases to be in line with asset growth and our loan loss ratio to remain in line with the current experience. We now have a full quarter contribution from ING, and we expect to continue to see solid results. Finally, while we will continue to invest in our business initiatives, expense management will also remain a key priority. Overall, the outlook for Canadian Banking for the remainder of the year is for solid growth. Moving to International Banking. The outlook continues to be favorable. Our diversification balances the higher growth business outlook we have for Latin America and Asia with a more modest outlook we have for the Caribbean and Central America. Overall, we continue to expect low double-digit growth across the division's loan portfolios for the rest of the year. Our retail banking segment continues to have good momentum, with solid performance expected in Latin America. We also expect positive contributions from our premium banking launch in Latin America, the Caribbean and Central America. We are also building out our distribution capacity in Mexico by expanding our ATM network and through alliances with local partners. For our commercial businesses, our pipeline is in good shape and is significantly higher than last year. In particular, the prospects are solid for Latin America, and we are seeing continued momentum in Asia, particularly in commercial volumes. We expect PCLs to rise in line with the growth in our portfolios. Despite some pressure on margins, we expect them to remain stable overall, due to our well-diversified business and geographical mix. We are facing greater regulatory requirements in the areas of consumer protection throughout our footprint, which may slightly slow the pace of revenue growth. We are pleased with International Banking's current trajectory and its growth prospects for the balance of the year. In Global Wealth Management, our outlook is for good underlying growth across our key businesses, supported by our diversified business mix and geographic scale. Global asset management continues to grow with AUM and AUA reaching all-time highs of $135 billion and $313 billion. Net sales of ScotiaFunds reached a record $1.2 billion this quarter and had the strongest percentage growth rate among the Canadian banks. We have received regulatory approval to operate a fund management joint venture with the Bank of Beijing, which provides us with a vehicle to expand our fund management capabilities. We will continue to recruit talent, fill product gaps, grow our distribution pipeline and better target and serve high-priority segments and markets. Our wealth distribution businesses will continue to be driven by better market conditions and strategic initiatives. Our international wealth business continues to yield strong results, driven by asset volume, growth and augmented by our strategy of select acquisitions. The recent purchase of 50% of AFP Horinzonte in Peru will allow us to increase the scale of our existing Profuturo pension management business and become a bigger presence in this growing segment. In Canada, we continue to be focused on recruiting talent and improving advisor productivity to drive growth through new client acquisitions. The outlook for our Canadian insurance business remains positive as ongoing product enhancements and higher branch cross-sell continue to grow our client base. Internationally, our focus is in -- focus in insurance remains on leveraging the bank's global distribution networks to experience improved cross-sell and to expand our non-creditor business. And in Global Transaction Banking, we are continuing to enhance cross-sell activities with our business line partners and have a number of key strategic initiatives underway. GTB is focusing on developing and marketing innovative Basel III-friendly deposit products globally and providing enhanced cross-border payment capabilities. We are also expanding our commodity trade finance capabilities across all our geographies. Moving to Global Banking and Markets. We will continue to focus on producing high-quality, low-volatility earnings from our diversified business platform. Global and domestic economic uncertainty will continue to moderate client activity. However, we continue to see good growth opportunities across our international platform, in our focus sectors and from our cross-sell and global FX initiatives. The corporate loan portfolio is expected to experience mid- to high- single-digit growth rates for the balance of the year with loan spreads remaining stable. Conditions for loan underwriting remain modest in the absence of improved M&A activity. However, we are optimistic of continued improvement for the remainder of 2013. Credit quality of the loan portfolio remains strong, and loan-loss provisions are expected to remain modest. Our long-term strategy is to continue to be client focused in order to generate high-quality and sustainable earnings in Global Banking and Markets. We will accomplish this through our continued investment in the business and our ongoing focus on diversification and growth across products and geographies. And finally, at the all-bank level, as Rick mentioned earlier, we have had a very good first half of the year and are well positioned to meet our financial targets for 2013, including delivering positive operating leverage through prudent expense management. Now I'll turn it back to Sean.
Sean D. McGuckin: Thanks, Brian. That concludes our prepared remarks. We will now be happy to take your questions. [Operator Instructions] Operator, can we have the first question on the phone, please?
Operator: Your first question comes from the line of Steve Theriault from Bank of America Merrill Lynch.
Steve Theriault - BofA Merrill Lynch, Research Division: I wanted to ask a question on capital for Rick or Brian. But, Sean, just quickly, could you -- you've mentioned during your remarks that the securities gains in international can be viewed as essentially loan loss reversals. Can you just clarify that? And was that $25 million to $30 million after tax?
Sean D. McGuckin: Yes. So this relates to a loan we had on the books many years ago. It came in the form of a security. The security was eventually sold this quarter, but it relates more to an original loan many years back. And the amount was, yes, close to $30 million after tax.
Steve Theriault - BofA Merrill Lynch, Research Division: Is there some sort of an exchange for security at some point?
Sean D. McGuckin: Yes, yes. Yes, many years ago, when it got converted into a restructured loan and we got a -- in the form of securities. So when we sell it, it comes through as, again, a security rather than as a loan loss.
Steve Theriault - BofA Merrill Lynch, Research Division: Okay. So just on capital, your Basel III Tier 1 common is coming along nicely, over 8.5% a quarter, and you're tracking to 9% in pretty short order, it looks like. Is there any thought to eliminating the DRIP discount or buying back stock at some point in the next few quarters, or are you still in the mode where you want to keep your powder dry, you want to hold back a little and I guess you have the potential completion of the China acquisition at some point?
Sean D. McGuckin: Yes, yes. As you know, we've got a really dynamic capital management plan process. In the past, we've used share buyback primarily to offset share -- option dilution. We've been very successful over the years deploying our capital in our -- to our 4 business lines. So we would see that as continued key strategy going forward. That being said, sometime in the future, we may add share buybacks as a tool to add to our capital management toolkits. But again, it would not be a significant part of our capital deployment strategy. In terms of the DRIP, yes, we look at that every year to determine whether to keep the discount on that, and if we do decide to do a share buyback program in the future, we would obviously turn off the DRIP.
Richard Earl Waugh: And just add to Sean's remarks, we're going to be consistent with our capital management. And as you can see by our results, especially on the revenue and the asset growth, our first priority is always to grow our business, and that's what we've done in the past. And then I see that we do have the advantage of these opportunities, and you can see how, throughout the business lines, we're really growing our business, priority number one. Second priority obviously in capital management is we do believe in rewarding our shareholders with dividends. We have been a consistent and a regular -- are regularly increasing our dividend. And again, with these results, we see that's consistent. Share buyback, we have in the past to offset dilution for any stock issued and we look towards doing that. So, I mean, again, I think we're going to be very consistent. We're very comfortable in our capital ratios and we -- again, we -- push's [ph] [indiscernible] , we'll see again.
Operator: Your next question comes from Gabriel Dechaine from Crédit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Just another clarification. So the securities gains in international is $30 million, but you also had a credit mark -- positive credit mark amortization of $18 million, correct?
Sean D. McGuckin: That credit mark, you're referring to the Banco Colpatria, but our increase in loan losses, we still had an increase in loan losses quarter-over-quarter because of Colpatria; that just reduced the increase in the provision.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Yes, okay. And just speaking of loan losses, I'm just wondering, you talked about PCLs being kind of growing in line with loan growth. But if I look at the retail formations in international, the ratio of formations to retail loans has been going up pretty consistently. I'm just wondering if you're seeing anything that's diverging a bit from your earlier expectations this year that may be a bit worse than you were expecting? And then also, there's no recoveries to speak of in that retail formations line. This -- I believe you hired some collections agents in Peru last year, a large number. I wonder if there's like a latent effect there where we start seeing recoveries on these impaired loans later in the year, or if that's just the nature of the business that you have unsecured lending that's driving that impaired loan formations?
Dieter W. Jentsch: It's Dieter. At the LATAM Investor Conference, we signaled that we'll be seeing a rise in our -- in some of our formations and -- in line with some of the businesses that we have in Latin America. Now we also articulated the -- some of our increases will be due to the acquisitions. And so if you look at where the rise has come in the last 6 to 9 months, it's been a function of the acquisitions, Colpatria and Credito Familiar. It's been the growth in our Retail business, which in Latam has grown 18% year-over-year. And as Rob mentioned in his remarks, that we've had in Peru, we signaled that we had changed some of the mix, and there was some moderate deceleration in the market. At the same time, what we were doing was we were adding to our allowances. And our allowance today stands at 60%. We added to our allowances, notwithstanding that our book is 68% secured. So when you look at over the past year, we took a very, I think, proactive approach to dealing with our allowance, dealing with our coverage ratios. We watched some of the underwriting practices in Peru. So we didn't grow as fast as the market. Going forward, if you look forward, we see that the catch-up that we would've done on some of the allowances is behind us and that we will grow our PCLs in line with our retail growth. The recoveries you talked about were largely in Peru, on the commercial side. And the business that we would see -- you would see in Peru would generally be on the micro finance and on the unsecured side, where we don't have a lot of recoveries.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Okay, so that's kind of normal, I guess. And then just the -- because we don't see the commercial loan broken down in your presentation by country in international. So I see PCL in Colombia, I don't see -- in retail, I don't see it in commercial. Just wondering if you're still on track for that 3.25% or 3.5% PCLs ratio as it normalizes, I guess, beyond the mark.
Dieter W. Jentsch: Our PCLs on the commercial side are sitting around 10 to 15 basis points and still relatively, what I'll call, benign formations on the commercial side.
Operator: Your next question comes from Robert Sedran from CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: A question on trading. I guess it came in a bit, took us bit of a step back this quarter and I know a couple of comments were made about rates and commodities. I'm wondering if perhaps you can tell us why the interest rate side seems to be so volatile quarter-over-quarter. And perhaps give us a little color around Mocatta and its various businesses during the quarter. It feels like whatever happened in Q2 is still happening in Q3 on the precious metals side. I'm just curious how the various businesses, including the fee-based ones, at Mocatta performed during the quarter.
Brian J. Porter: Okay, let's start with the fixed income side. It's just the opposite of the comment you made. They've been extremely stable Q-over-Q the last 6 quarters. Fixed income actually had a very good quarter. We had an extremely strong first quarter and still had a very strong second quarter. So fixed income itself is performing very well. On the commodity side, we were soft on the energy trading side and year-over-year on Mocatta, we had a very strong Q2 2012. We had a very -- in the last 6 quarters -- last 5 quarters, we've had 2 quarters that have been better than this quarter at Mocatta, 2 that have been worse, so it's kind of the middle of the pack. It was on its planned number. But on the metals side, the way you should think about it is we have a loan book. In that book, the net interest margin does decline as the commodity price goes down. Having said that, the offset is that the consumers tend to be more active, so we tend to get a little bit more of a flow biased to the business during -- with a lower commodity price. So Mocatta is doing very, very well. For us, it was just a slower quarter on the client side of the business, and that really explains it. It was slightly weaker across the majority of the business. There wasn't really one that was materially -- was unusual or anything in any way.
Robert Sedran - CIBC World Markets Inc., Research Division: When I look at the interest rate line in the supplementary on Page 9, I'm seeing 120, 160, 120, 180, like that's, I guess, that's -- it's not tremendous amount of volatility. It just seems to bounce around, plus or minus $50 million in a quarter. And I'm just wondering if there's a reason for it or if it's just flow-related?
Brian J. Porter: If you include the fee parts of the business because that kind of -- we have a tough time reconciling that number ourselves, but if you look at the all-in quarter-over-quarter-over-quarter-over-quarter results from fixed income, it's an extremely stable business. Actually, of all of our businesses, and this is somewhat unusual because we think of fixed income as being slightly higher volatility, but it's been one of our lower volatility businesses for the last 6 quarters.
Operator: Your next question comes from the line of Michael Goldberg from Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: You had very robust loan growth in a number of sectors. But I see that you had virtually no increase in credit risk-weighted assets. I'm looking at Page 33 of your sup pack for the detail, but could you just explain what's happening here and why there was no increase?
Sean D. McGuckin: Sure. When you look at our loan growth, you'd expect the risk-weighted assets up maybe about $2 billion or $3 billion. The investment portfolio went down, that would have reduced risk-weighted assets by about $1 billion. But for the loan growth, there is some asset mix change. We had a bigger portion of trade finance, which has a much lower risk-weighted assets than regular commercial lending. And there's also some data refinements, as we were better able to apply the collateral within our risk-weighted assets methodology. So we would expect next quarter, though, that risk-weighted assets growth would be a bit more in line with the asset growth.
Operator: Your next question comes from John Reucassel from BMO.
John Reucassel - BMO Capital Markets Canada: Just back to Dieter on international. Dieter, I'm just trying to understand what happened in the quarter? And there was a credit mark gain, I guess if you look through that, it doesn't look like there is much earnings growth. I'm sure that's not the way you view internally. Can you just tell us what -- kind of what's going on and where we should expect things to go from here? How much is left in the credit mark gain? And where are you going to get some more operating leverage?
Dieter W. Jentsch: Let me take some time and walk through both the revenue and the expense side. As we all kind of -- it's a pretty multidimensional issue. But first of all, in our revenue gains of 11% year-over-year came notwithstanding that 25% of our revenue is derived from the Caribbean, which is working at above 5% to 8% single-digit revenue gains. So you got some revenue that hasn't normally come in line with what we'd see in other parts of our portfolio. Part of our revenue this quarter also, and notwithstanding it was 11%, we had margin compression in Chile for the last 2 quarters that impacted our revenue gains. And we see that returning as inflation comes back to more normalized levels going forward. The other that we saw last year, and as you look at our revenue gains last year, we had a considerable spike in our trade finance assets in the first 2 quarters. So when you sort of take that in together and you add into the mix the loan recovery that came as a form of a security, you've actually had good revenue gains notwithstanding some offset variances that would, in fact, mitigate some of the revenue surpluses. On the expense side, and it's something that Sean mentioned, if you look at our operating expenses, half of those would be acquisition-related. And then as you look to the PCL side, which would have moved to -- impacted our NYET [ph] number 5% year-over-year, it goes down to the explanation I gave in the earlier question, where we had increased PCLs from acquisition-related, some product and mix changes in Peru and some addition to our allowance coverage ratios to bring them up to a very, very acceptable level, 60%. So when you look at what we consider to be revenue that's been impacted, it should flow to the business on an ongoing basis going forward. And you'll combine that with the double-digit loan growth that we continue to put forward as achievable for this year and driven mainly by Latin America and Asia, the underlying fundamentals going forward look positive.
John Reucassel - BMO Capital Markets Canada: Okay. So you're just -- so you're looking at -- are you looking at organic operating -- was there organic operating leverage in the quarter?
Dieter W. Jentsch: Yes, our operating leverage within the quarter was negative 0.3%, 0.6%. So we're going to get some natural volatility quarter-to-quarter. Our year-to-date operating leverage was about 2.6%, and we're targeting a positive operating leverage for the year.
John Reucassel - BMO Capital Markets Canada: Okay. And just sorry, when do the credit marks expire? Is that sometime next year, Q2 or something?
Sean D. McGuckin: It will take another 18 months or so to run out. And again, as those come off, those are just merely decreasing the current increase in provisions that we're getting out of Colombia. And as that benefit runs off, we've got growing revenues in Colpatria that helps offset that decline in the credit mark over the next 18 months or so.
Operator: Your next question comes from the line of Stefan Nedialkov from Citi.
Stefan R. Nedialkov - Citigroup Inc, Research Division: It's Stefan from Citigroup. I have a question on Latam net interest margins. Maybe, Dieter, if you can just give us some color on a country-by-country basis, maybe Chile, Peru, Colombia, Mexico, are you guys seeing any easing competitive pressures on the asset yield side of things or any pressure on the funding side? We have seen a bunch of your peers report a variety of different trends at the NIM level within the Latin American countries. So just really looking for some more color here.
Dieter W. Jentsch: Overall, our net interest margin for the quarter went up 6 basis points, and it's due to the portfolio impact of the various countries. You're absolutely right to notice that. You would have seen different impacts from Chile where the margin would've compressed, as well as you've seen some slight margin compression in Peru. This would've been offset by our operations in Colombia and Mexico, where there were increases in the net interest margin because of business mix. You're still going to see some continuing margin pressures in Asia. We've seen them going forward. But overall, given where we're up and, in some cases, where we're down, consistent to portfolio, that we're going to have a stable interest margin going forward. Some markets, and that was a point worth noting, in some markets, we have excess liquidity and we're able to reduce some of the deposit costs lower and maintain some of the margin as well.
Operator: Your next question comes from Peter Routledge from National Bank Financial.
Peter D. Routledge - National Bank Financial, Inc., Research Division: A couple of questions on Canadian Banking. A short one, what industry was the commercial banking PCL account in? You had an account it goes in?
Anatol Von Hahn: In the petroleum servicing industry.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Petroleum servicing. Okay. Just thinking about P&C Banking, I mean, revenues overall probably would be flat in that segment given the spreads and demand for credit in Canada and PCLs may start to rise just consistent with what happens in a credit cycle. It seemed to be at near all-time lows. So earnings probably get squeezed. What do you do? I mean, either to get earnings growth, you can implement a more broad and deep cost cutting program, where you're cutting meat not just fat, or you buy back shares to help bolster your EPS? How are you thinking about that?
Anatol Von Hahn: I think you heard in the comments that Brian made earlier. Firstly, in terms of the expense comment that you just made, I think if you look at Scotiabank, we have -- we always do and always have just a very lean operation, and the Canadian bank is no exception. So I don't think that's the way for us. If you look at us, look at the revenues that we've had, the growth that we've had, I think we performed as well or better on the growth side than the market does. And if you look at the cross-sell that we've been getting, that's given us some lift. In the last 9 months on the mortgage portfolio, you would have seen that the customers who are renewing their mortgages or came in on a variable basis are now taking fixed year mortgage -- fixed term mortgages, which are giving also additional better margins. And I think if you look at our different businesses, the Commercial Bank is doing quite well. We have a very good pipeline. We continue to expect growth from there. Small business has done very well and will continue to do well. And in the retail space, it has slowed down, to your point, but it's done very, very well. And on the cross-sell side, if you look at things like mutual funds, Insurance business, we've done very, very well by it. So I think it's really just very straightforward tackle-and-blocking type of banking, back to what it was prior to the crisis.
Peter D. Routledge - National Bank Financial, Inc., Research Division: So I agree with you on expenses. I mean, your expenses are below 50% on efficiency and I expect that to continue. Revenues may top out not because of anything happening at Scotia, but just because the market is not conducive to growing revenues. I mean, loan growth is slowing down. If the household starts to slow down, business may also start to slow down. Do you address that -- I mean, do you have plans in terms of cost reduction to address that potential outcome? Or is that something where you might look at share buybacks as a tool in order to defend both the position of your franchise, the strength of your franchise, and deliver some EPS growth?
Anatol Von Hahn: Let me -- let's divide that question into 2. Firstly from the business side, let me take that, and then Sean can take the question on the share buyback. On the business side, we have a number of initiatives that are in motion, both in terms -- on the revenue side, in terms of having more cross-sell and also expanding certain businesses organically, as well as controlling our costs. So I think this is a part of regular, normal business, where we set ourselves up for success in the coming quarters and year or years. So that's just regular business and maybe with that...
Sean D. McGuckin: As you know, Peter, diversification is a key element of our strategy here at Scotiabank. And the Canadian P&C business makes up only about 1/3 of our overall income. And as you've seen in prior years, when some divisions are a bit slower, we've got the benefit of having some stronger growth in some of the other businesses. So on balance, we're pretty comfortable with our strategy of continuing to grow earnings and our EPS target range of 5% to 10%.
Richard Earl Waugh: It's Rick, I think you're being a little hard on Canada in terms of Canada's growth. There's definitely a move away from commodities and energy, but broadly based, Canada, we are growing, and we're going to get a lift -- is from our greatest trading partner in the United States that is pulling out. And so we are still talking about growing in Canada, albeit some of these other Americas' growing faster, but that's good for us. So broadly based, you talked to the auto parts industry, you talked to some of the manufacturing, car shipment [ph] in our lumber business and those kinds of things that are up. So I wouldn't quite get too -- I know there's a lot of talk about how well the America is doing, and we think that's just great because they're our biggest trading partner.
Peter D. Routledge - National Bank Financial, Inc., Research Division: And share buybacks are now in your toolkit as a possible tactic, not necessarily going away?
Richard Earl Waugh: I'll just say, as we're seeing -- and then I think if you look at our top line revenue growth in Canada and around the world, we have still great opportunities. Our customers -- we're growing our customers and we're growing in that and that's our priority. And then we'll look at dividends because I think consistent, stable, increasing dividends is the way to go. And so while it's in the toolkit and it should be in the toolkit, again, historically, we've used it just to offset dilution. And that all is on [ph] predicated, that we've got places to grow. And we firmly believe we've got places to grow.
Operator: Your next question comes from Sumit Malhotra from Macquarie Capital Markets.
Sumit Malhotra - Macquarie Research: First question is a 2-parter for Sean and maybe Dieter. On the gain that Thanachart is going to take next quarter on the sale of their insurance business, if the numbers I've run are correct, that should be in the range of $150 million. Is that on the ballpark or do the economics change because of the ongoing relationship the 2 entities are going to have, that's going to defer some of that over time?
Sean D. McGuckin: We've purposely not disclose that gain amount, Sumit, out of respect for our partner at Thanachart Bank. It's going to be much more material for them than it is for us and they haven't announced it yet. So we're not in a position to comment on your estimate.
Sumit Malhotra - Macquarie Research: Okay, so let's go to the recurring part of it. Does it -- and this is maybe more for Dieter. I will appreciate some help if you can tell me was the Insurance business a meaningful part of the ongoing earnings stream for Thanachart? Does this change the pickup that you've had in any kind of major way or do you not deem it as material?
Sean D. McGuckin: It's not going to have a significant impact. Part of the agreement, as we've disclosed through the bank insurance agreement, we'll be distributing the products, so we'll be getting distribution revenues which will offset part of the existing insurance revenue that will fall off. So there will be a slight reduction, but it's not going to be meaningful to Scotiabank.
Dieter W. Jentsch: What I would add to that, our underlying core banking, both in terms of car lending, business lending, continues to be very strong in Thailand.
Sumit Malhotra - Macquarie Research: All right. My next question is for Anatol. Anatol, when I think about the credit card business for Scotia's Canadian segment, I've heard some of your colleagues and predecessors say over the years that the business has been more about the lend than the spend for Scotia. And I want to ask you, in this time of secured real estate lending slowing, is there an opportunity for the bank to perhaps change their credit card offering and especially with ING now aboard, a different type of customer base, perhaps get more aggressive on the credit card side of the equation? What steps are you considering there, if any?
Anatol Von Hahn: Yes, let's divide this question into 2 as well, one for the bank and the other for ING. In the first, with respect to the bank, I actually I'd argue a little differently than what your comments were that you just made. We've actually, in the last 2 to 3 years, have done exceptionally well in terms of our credit card growth business, and it's been part of our payments strategy. So it wasn't on the lending side only, it was more about using it as the primary vehicle through which our customers pay many of their bills. So it's part of the anchoring of the relationship with individuals. As you know, we launched the American Express Scotiabank card, which has done exceptionally well and has exceeded our expectations, and the Moneyback card as well. So overall, I'd say in credit cards, we've had very good organic growth, understandably from a small base. But we've done, over the last couple of years and particularly in the last 10 to 12 months, I think, exceptionally well. And that, I think, you'll see us continue to do, to be aggressive in that. With respect to ING, with ING, we're looking at longer term strategy in terms of how to position ING, and clearly, credit cards will be something that we'll consider there. Today, ING does not offer a credit card, but we'll see what we'll do in the mid -- short to midterm.
Sumit Malhotra - Macquarie Research: Very quick one for Rick before I leave. Rick, I've heard some talk that the CVA impact for risk-weighted assets has been delayed until Q1 2014, may end up being delayed again. Is there anything you can offer on that file?
Richard Earl Waugh: It continues to be under discussion. And of course, we want a level-playing field with the other jurisdictions. And internationally, they've got a long way to go before they tackle that one. So we're under discussion because we want a level-playing field not only to [ph] compete but we still were actively discussing it as an industry at Canadian's.
Operator: Your next question comes from Brad Smith from Stonecap Securities.
J. Bradley Smith - Stonecap Securities Inc., Research Division: Two very quick questions. I noted that your earnings, your average earning assets, and your revenues in your domestic segment are growing faster than the pace that we've seen so far from your peers. I was wondering, I may have missed it, but I didn't -- I don't see any reference, really, to your market share positioning in your presentation today. I was wondering if you could talk a little bit about your domestic market share and the mortgages, the personal lending and on the personal deposits side and the SME side?
Anatol Von Hahn: Okay. Let me take it in terms of market share. If we compare ourselves, and there are different ways of course to compare, but if we look at ourselves relative to the other Canadian major banks, if you look at us on the mortgage side, both quarter-over-quarter and year-over-year, we've had good growth in the mortgage side in secured lending. And when you look at us on a total personal lending basis, again, the same is true both quarter-over-quarter and year-over-year. If we look on the deposit side, particularly on the checking and savings and on the accounts, both with ING and x ING, we've had positive growth quarter-over-quarter and year-over-year. The numbers are striking with ING because of the acquisition, and it really is showing the benefits of the strategy of having acquired it, both in terms of the size that it gives us but also, more importantly, access to new customers.
J. Bradley Smith - Stonecap Securities Inc., Research Division: Okay, terrific. And then I noted that the advertising spend in the quarter went up quite substantially. Can you just talk a little bit about what that was? It looks a little lumpy there. Was there something specific or should we be expecting that to recur going forward?
Anatol Von Hahn: Yes, there are 2 effects in there. One is on our hockey strategy. As you know, in the first quarter, the hockey season hadn't started yet. And so what you're seeing in the second quarter is part of that hockey spend taking place, which has given us also very good recognition, both in terms of brand and in terms of activation. Secondly, the other reason it's gone up is on the ING marketing side, last quarter, we -- ING had relatively little amount of marketing, and it wasn't a full quarter. This quarter, in ING, we had both the GIC campaign, the savings campaign and a third campaign. And all 3 of those were, and are, very successful but were launched and are recorded in the second quarter.
J. Bradley Smith - Stonecap Securities Inc., Research Division: Okay. So just to be clear, the $51 million of contribution from ING would've reflected that spend, I take it? And I had another question. Would it also include any contribution from the excess capital that was at ING Bank when you acquired it?
Sean D. McGuckin: Yes, as we've described in the past, as we free up liquidity in ING and pass that back to the bank, it does increase the income we earn off ING. So that's a factor as the year progresses.
Operator: Your last question comes from Mario Mendonca from Canaccord Genuity.
Mario Mendonca - Canaccord Genuity, Research Division: I'll try to be quick here. On a spot basis, ING's deposits, quarter earning?
Sean D. McGuckin: It was 131 point -- sorry, not 131, it was $31.4 billion.
Mario Mendonca - Canaccord Genuity, Research Division: And then also fairly quickly, quarter-over-quarter, retail -- and this is in the International segment, retail and commercial loans were up over 7%, presumably, that's -- we're seeing some of the effects of the acquisitions and perhaps FX as well. Dieter, do you have those numbers quarter-over-quarter for both retail and commercial international to loan growth?
Dieter W. Jentsch: Yes, what we have on the retail side, we would have grown 18% year-over-year. But quarter-over-quarter, we would've grown 4%.
Sean D. McGuckin: It's both 4%, excluding FX.
Mario Mendonca - Canaccord Genuity, Research Division: And is that also excluding Credito Familiar?
Sean D. McGuckin: Yes, it's probably closer to 3% when you exclude that.
Dieter W. Jentsch: Yes, it excludes the acquisition of Credito Familiar.
Mario Mendonca - Canaccord Genuity, Research Division: So about 3% retail and then commercial?
Sean D. McGuckin: It's about 5%.
Mario Mendonca - Canaccord Genuity, Research Division: Quarter-over-quarter?
Sean D. McGuckin: Yes, but a lot of that was trade finance in Asia.
Dieter W. Jentsch: Yes, what we're seeing is a good momentum in the latter part of the quarter on Asia. As a matter of fact, Asia on the last quarter would have grown almost 8% within the quarter over last quarter. A very strong momentum in our loan book, both commercial and trade in Asia.
Mario Mendonca - Canaccord Genuity, Research Division: So -- and that 5% is excluding anything to do with acquisitions and FX. That's just essentially the Asia growth you're referring to.
Dieter W. Jentsch: Yes, that's predominantly on Asia and Latam. Year-over-year, you will see some Colpatria impact, but quarter-over-quarter, it was predominantly Asia and Latam.
Mario Mendonca - Canaccord Genuity, Research Division: Okay. And if I could just -- one final thing to clear this up. On Colpatria, last quarter, you explained to us that as loan losses normalize there, we could see losses in Colombia at $40 million to $50 million a quarter. It would be helpful to understand this quarter, where we were relative to that $40 million to $50 million. Was it still really modest at, say, $5 million or has it already started to migrate higher?
Sean D. McGuckin: For loan losses, you're talking about?
Mario Mendonca - Canaccord Genuity, Research Division: Yes, Colpatria specifically. And this is just following up on a question that I asked last quarter.
Sean D. McGuckin: So aftermarket was close to $30 million provisions in the quarter.
Mario Mendonca - Canaccord Genuity, Research Division: On Colpatria, specifically?
Sean D. McGuckin: Colpatria specifically.
Mario Mendonca - Canaccord Genuity, Research Division: So you're already -- you're well on your way to the $40 million to $50 million you referred to last quarter?
Sean D. McGuckin: Yes, as I'm saying, it will take us over the next 18 months before that credit mark disappears, and we're kind of running at a full global rate on provisions. All right. Thank you, all, for joining the call, and we'll talk to you next quarter. Bye.
Operator: Ladies and gentlemen, this does conclude the conference call for today. Thank you for participating. You may now disconnect your lines.